Operator: Good day everyone. And welcome to the DTE Energy Third Quarter Earnings Call. Today's conference is being recorded. For opening remarks, I'll turn the call over to Barbara Tuckfield. Barbara, please go ahead.
Barbara Tuckfield: Thank you, Debby, and good morning, everyone. Before we get started, I would like to remind everyone to read the Safe Harbor statement on page two of the presentation, including the reference to forward-looking statements. Our presentation also includes references to operating earnings, which is a non-GAAP financial measure. Please refer to the reconciliation of GAAP net income to operating earnings provided in the appendix of today's presentation. With us this morning is Peter Oleksiak, Senior Vice President and CFO. We also have members of the management team to call on during the Q&A. And now, I'll turn it over to Peter.
Peter Oleksiak: Thanks, Barbara, and good morning to everyone and thank you for joining us today. First note DTE earnings call would be complete without an update on my Detroit Tigers and Lions football here today I am going to start with that. I'm disappointed to say that for the second straight year, the Tigers did not make the post season and traded away most of the veteran players. And actually Justin Verlander is pitching tonight in the World Series. So I wish him luck. The good news is that for the Tigers, we do get the number one pick for 2018 season, so every ending has a new beginning. And as always, I look forward to a greater season next year. Now, onto to the update on DTE. Like last year, we’re keeping today's call focused on the quarter, and our attention on the current year. The longer term strategy and growth related questions will be deferred to the EEI Conference, which is only a couple of weeks away. And at EEI, Gerry Anderson will providing our detailed business update. This update will include our 2018 early outlook, our long term growth plans as well as details about each of our business segments. Now, I would like to start on slide three. Given our continued strong year-to-date results, we’re increasing the guidance mid-point by $0.12 to a range of $5.38 to $5.69 from a range of $5.26 to $5.57. The guidance increase is driven by our gas storage and pipeline and power industrial segments, which I'll discuss in more details in a few minutes. Before I get into financials, I want to shift to another area where we are seeing great results, which is residential customer satisfaction. I'm particularly pleased to announce that we ranked second in the residential customer satisfaction at both DTE Electric and DTE Gas. Moving on to updates at our non-utility businesses. Since our last earnings call, our gas storage and pipeline business received FERC approval for both NEXUS and the CPP lateral projects value lateral projects. And we are targeting 2018 in-service for both. We also have great news at our power industrial projects businesses. The agreement on the industrial energy services project we just closed on the last earnings call was finalized. And I can tell you now that the project is part of Ford Motor Company campus upgrade. Powering Ford’s new was new research and engineering center, DTE will own and operate the new state of the energy center, using modern efficient and green energy. This facility is expected to begin operations in late 2019. We also have a great pipeline of projects in development to follow the ones we’ve announced this year, and we’ll continue to update you as they progress. And at EEI, we’ll give you a more detailed description of the types of investments we are targeting. Now, I would like to go to the third quarter earnings results on slide four. For the quarter, DTE Energy’s operating earnings were $264 million or $1.48 per share. For reference, our reported earnings were $1.51 per share, and you can find a reconciliation of the third quarter reported operating earnings in the appendix. For the quarter, our growth segment’s operating earnings were $274 million or $1.53 per share. Electric segment was lower by $63 million quarter-over-quarter. And this quarter was considerably cooler than 2016, which was one of the warmest on record, and drove much of the unfavorability. DTE Gas was lower by $9 million quarter-over-quarter. This is primarily driven by the timing of the GAAP main renewal revenue and higher O&M expenses. As I mentioned on previous calls, with more of the gas made on renewal revenue and base rates, revenue was expected to be proportionally lower in the second and third quarters and higher in the first and fourth quarters. And will not affect the full year earnings. For the gas storage and pipeline segment, third quarter earnings were higher by $8 million versus last year. This favorability was driven by the linked acquisition and higher pipeline and gather earnings. Our power industrial project segment was higher by $9 million quarter-over-quarter, and is due primarily to higher REF volumes and new sites coming online late 2016. Now, I'll talk more about this favorability when I discuss the guidance increases. Our corporate and other segment earnings were $14 million unfavorable versus last year. This variance was mainly due to timing of taxes between the two years. Again, overall gross segment results for the quarter were $274 million or $1.53 per share. Energy trading loss $10 million operating earnings at $3 million in economic net income for the quarter, our trading is having a solid year and is on track to achieve its economic contribution target. And please refer to the appendix review of the energy trading standard reconciliation slide, which shows both economic and operating income performance. Overall, we had a strong quarter. Let's move on to slide five to discuss how this shrink plays out in our full year guidance. As I mentioned at the start of the call, our EPS guidance range for DTE Energy is now $5.38 to $5.69, up from a range of $5.26 to $5.57. We are increasing the midpoint of the 2017 EPS guidance by $0.12 from $5.42 per share to $5.54 per share based on the continued strength at our non-utility segments. For our GSP segment, we are seeing favorable results with the linked acquisition and pipeline of gathering earnings. And at P&I we’re able to capture additional value to the REF business with two new high production sites. Longer term, our 5% to 7% growth rate continues, growing up our original 2017 guidance, which whether normalized is a utilities and also normalize as the favorability of P&I from our REF facilities. Before I get into nuances of the earnings guidance change for our P&I segment, if I could like to step back and discuss the overall value creation with the REF projects, just to set the context. As you recall, the REF projects and facilities that makes additives with coal to produce fuel that reduces emissions from the coal fire power plants. The REF projects included tax credit incentives that can be generated over the fine 10 year life. The initial products came online at the end of 2009. And when Congress extended the refined coal tax credit program, a second tranche of projects was developed and brought online at the end of 2011. Since that time, we saw ways to increase the value of the projects by entering into strategic transactions with utility and investor partners. These transactions are completed to increase REF production, optimize cash flow and minimize operating risks. The timing of entering these transactions changes our earnings and cash profile, tax credits generated are recognized immediately as earnings, which then can be utilized in the future to reduce federal income taxes. When transactions with investor partners are completed, they received their earned portion of the projected tax credit allocation, which increases our near-term cash flow while decreasing earnings. Now, let's move back to 2017 guidance update for P&I segment, where we see some of this impact playing out. We see this guidance changes increased tied to additional REF projects we developed last year with both a relocation and acquisition, they are generating earnings for us and our shareholders. We're now in the process of looking for investor partners. We have done this already with many of our existing units. And when these partner shifts are executed, they will be value and cash accretive to the enterprise and will reduce earnings. Until we find partners, we realize higher earnings near-term on these projects. Finding these investor partners maximize the NPV of these assets. The exact timing of when we entered these partnerships is driven by a combination of two things; one is cabinet units run for a period of time to maximize performance; and also is finding the optimal partner to maximize cash values. Over the remaining lives of the projects, we will continue to maximize value of the REF business line, do potential relocations to higher units of our units to higher volume sites, or the acquisition of additional third party units where we can create value. This business line has and will continue to deliver significant earnings and cash benefits to our bottom line. Now, let’s move to slide six to discuss cash and capital guidance. In addition to the solid earnings results, our cash flow and balance sheet remains strong and continue to support our long-term growth plan. Based on the year-to-date results, we're updating our cash flow and capital expenditure guidance with the change related to capital. Taking a closer look at the capital expenditures on the right side of the page, we show that the capital expenditures by business unit, we still expect to invest nearly $2 billion at are utility this year. This includes $1.5 billion at DTE Electric, driven by investments in our distribution system and $400 million at DTE Gas, driven by investments in base infrastructure and main renewal. With the capital investments that has occurred over the past years at DTE Gas, we're likely to file our rate case by the end of this year. We have decreased our non-utility capital guidance by $500 million and this is for the retiming of the constructions of the NEXUS project. And as I mentioned earlier, we're targeting a third quarter 2018 NEXUS in service date. This brings our total capital expenditure to approximately $2.5 billion for the year. Now I like to wrap up on slide seven, then we can open the line for questions. We had another successful quarter, and we're in a great position to exceed our original EPS guidance this year, looking to extent our street to 11 consecutive years, and meeting or exceeding initial EPS guidance. We’re investing heavily in our utilities by upgrading our aging infrastructure and proving our customer experience. We're executing at growth opportunities at our non-utility businesses, most notably with Link and NEXUS at GSP and the recent industrial energy services project at P&I at the Ford complex. We continue to maintain a strong balance sheet, which sets us up nicely for future growth opportunities. And during this period of significant investments, as we begin to transform our electric generation fleet and the strength of our utilities combined with our growth for our non-utilities, gives me a lot of confidence that we’re continuing to deliver premium shareholder return. In closing, I would like to remind everyone that Gerry Anderson will be giving a presentation at the upcoming EEI conference on November 7th. So this update and his update will include an early outlook for 2018 and an update on our long term growth plan. There would be webcast on our investor relations Web site, and we hope to see many of you there. Now, I would like to open it up for questions. And as I mentioned at the beginning of the call, we’d very like to focus the questions on the current quarter and year. I also have members of the management with me I may call upon to answer your questions. So Debby, you can open up the line for questions.
Operator: Thank you, sir. [Operator Instructions] We will go first today to Michael Weinstein with Credit Suisse.
Michael Weinstein: Maybe you could talk a little bit more about how far you are on track to P&I replacement of one-third of the expected $40 million for new projects that you have targeted for 2021?
Peter Oleksiak: Yes, we have announced three projects this year. And this quarter, we announced the details that we’ve been talking about this Industrial Energy services project with the Ford complex. So this is real visible sign that we are right now one third of the way there in terms of backfill. We are targeting at this point $40 million to backfill for 2020, which is a good portion, a portion of the REF of earnings, REF on short duration contracts. So we have asked Power and Industrial segment to backfill a portion of that with long term contracted earnings. And we have also have a great pipeline of additional opportunities that we’re looking at. And at EEI we’re actually going to go into little more detail in the nature of these types of opportunities.
Michael Weinstein: And for NEXUS are we, at this point, when do you expect to start construction and is there any remaining FERC rate issues than need to be dealt with?
Peter Oleksiak: I have Dave Slater here, the President of that business unit. I'll have them answer question.
David Slater: Michael, we actually commence construction on the 16th of October, so we’re underway. And it's primarily right away work that we’re commencing. And we have a plan to do a number of HDDs working on the compressor stations, and that will play out over the course of the winter with mainline pipeline construction commencing in the spring.
Operator: We will go next to Craig Gordon with Evercore ISI.
Craig Gordon: I'll table the questions on Power and Industrial’s future outlook for EEI, since you requested that. So when we look at the quarter, the underlying growth trends that you’re seeing in terms of economic outlook at DTE Electric, I know the weather has been pretty big swing in earnings over the last few quarters. We’re seeing really strong economic activity across the board here. My Chief Economist this morning just pointed out how strong the data looks, both in the U.S. and globally. Are you seeing, from the auto industry or any of the other big industrial segments in your service territory, signs of accelerating growth and how would that impact your outlook?
Peter Oleksiak: We are seeing for us the best indication of the underlying economic growth as we take a look at customer accounts within the region. So we are seeing a steady increase. We have seen a steady increase by last five or six years of about 0.5%. And I would say, overall, the Michigan economy has been diversifying over the years, and I think it's a very solid and we continue to see solid performance. And for the automotives, the automotives, right now, they are at a pretty high level of 18 million units, now they are talking about 16 million units, which still is a good level for them to make some profitability. I’d say, I’d put it more characterized it as solid economic from Michigan.
Craig Gordon: So you’re not seeing any change to the upside?
Peter Oleksiak: We’re still projecting relatively flat loads, probably underlying growth around 1%, but we continue to see energy efficiency happening and we have a really robust energy efficiency program that’s paying dividends for us, but it's relatively flat that we're planning for on a financial basis.
Operator: We’ll go next to Julien Dumoulin-Smith with Bank of America Merrill Lynch.
Julien Dumoulin-Smith: So, a quick question on the P&I side real quickly. Does the additional projects, is it shifted all the roll off and the timing of those credits at all by any meaningful amount? Or is that still the expectation that you laid out before?
Peter Oleksiak: The expectation is -- there’ll be a roll up in 2020 and then 2022. These projects, this has been a great business line for us, as you know, a lot of earnings, a lot of cash. So these additional projects will, actually more than anything give us additional cash, we have a significant investment program ahead of us. But we are targeting, right now, and you will hear at EEI, we’re really targeting and end state non-REF, post REF for each of the business lines and we’ll give an update at EEI.
Julien Dumoulin-Smith: And then you can you talk a little bit about the change in the non-utility CapEx? Obviously, there is some moves in NEXUS, et cetera. But anything else there just to make sure we're not missing anything.
Peter Oleksiak: No, it's really NEXUS, primarily NEXUS related.
Julien Dumoulin-Smith: And then turning back to the utility real quickly, some of your peers are talking about green tariffs and offering those as another growth avenue at the electric utility side in Michigan. Any opportunity there on your side that you guys are looking at?
Peter Oleksiak: You have a green tariff and obviously we’ll continue to work, that’s definitely an area of focus for us in our commission and our customer, but we do have a program similar to that.
Operator: We’ll go next to Shahriar Pourreza with Guggenheim Partners.
Shahriar Pourreza: Let me just, I know you're going to discuss this a little bit more at EEI. But it sounds like from your prepared comments, you’ve done a very good job of filling any gaps as the earnings stepped down from rest. And it doesn’t appear or that there is a concern that the fact that you're adding additional incremental sites that you're just essentially -- the earnings cliff is growing. So is there a concern there or do you talk about EEI, how you’re going to account for that? Is that tenure of the contract?
Peter Oleksiak: That is a good question. The REF units do provide over and above what we originally had, but it's really cash, at the end of the day for us that really going to help us the near term. But we are targeting right now post REF, basically planned, I guess, 5% to 7% growth. But I wouldn’t think about that this is additional earnings, but actually it’s good news, good additional cash. We’re going to continue to optimize this business unit, actually probably over the next year or so to continue to deliver value and cash.
Shahriar Pourreza: Okay, great. That’s helpful. And I guess we’ll get more color right now on EEI. And then just on NEXUS, do you plan on providing any update as far as any updates to affirm commitments and to connection agreements at EEI?
Peter Oleksiak: At EEI, we definitely will provide a more thorough update around NEXUS, how we’re seeing about that. We’ll also probably give you a sense around where we are in terms of looking at the potential opportunities out there in terms of contracts and new contracts.
Operator: We’ll go next to Paul Ridzon with KeyBanc.
Paul Ridzon: You mentioned filing a rate case, but was that the end of this year?
Peter Oleksiak: At the end of this year for our gas utility, that is the plan.
Paul Ridzon: Just to clarify, I think with Julian's question, these new sites at REF don’t change the timing of the wind-down but just are more cash producing.
Peter Oleksiak: Yes, that is the way to think about it.
Paul Ridzon: And then just, NEXUS has slipped from late '17 to 3Q '18. Can you kind of -- is it still negligible impact on earnings power in '18?
Peter Oleksiak: Yes, the way to think about it is, is that and we do get the AFUDC accounting, we have talked about that. So it is pretty minor for '18 impact.
Operator: We’ll go next to Jonathan Arnold with Deutsche Bank.
Jonathan Arnold: Can I just ask, so on the guidance increase of this year, on the P&I segment. Is that old REF or is there anything else going on behind the scenes?
Peter Oleksiak: It is all REF and we’ve had two guidance changes. The first one was related to REF as well, which was really more volume and capacity really good planned performance at existing sites. And this is related to new incremental units that we have.
Jonathan Arnold: So the rest of P&I is just unchanged, or has that actually -- could not have shrunk and REF is growing more? Or what's the dynamics between the two?
Peter Oleksiak: The way to think about this, from a normalized basis, is to go back to your original guidance for that segment, that’s a best way at this point…
Jonathan Arnold: And then all of the doubt is REF?
Peter Oleksiak: Yes.
Jonathan Arnold: Pretty much, okay. And then just one question, is there any -- has there been any talk of these tax credits, potentially getting extended, given the administrations focus on call and doing things that might not have been done in the past?
Peter Oleksiak: We do not anticipate that at this point in time.
Jonathan Arnold: And then just more general, I know you’re going to talk more about the strategy further out. But I just want to be clear that what you are announcing today, this Ford deal is the large CHP deal that you’ve been talking about really since the beginning of the year. And then…
Peter Oleksiak: That is correct, Jonathan. It's really going to giving you the details of this exciting new projects that we’re…
Jonathan Arnold: And the other two of the Landfill Gas transactions that you announced I think two quarters ago now?
Peter Oleksiak: That is correct. And we’ll give more update around the nature of these new opportunities and how we’re looking for at the segment.
Jonathan Arnold: I just had a sense that you view, earlier in the year, you would have been anticipating having more of this to talk to announce by now. So I'm just curious, how if you can comment on this momentum currently, and for in this gas as opposed to maybe the plan?
Peter Oleksiak: We actually internally, we do track that we are on target right now with the backfill. I think that we have a few years for the backfill to occur. This segment overall is 70 projects. So we knew this is going to be a handful of projects replacing the portion of REF that we’re access P&I L segment to replace. So on a pro rata basis, actually they are doing really good right now with the projects that we executed as well as those that are in the pipeline.
Jonathan Arnold: So 70, the universal things you're looking at?
Peter Oleksiak: The 70 that number is actually the current number of projects that we have, but I gave that just to give you a prospective that we have a lot of projects. So the replacing of REF will not happen with maybe one or two, it will be a handful by half of dozen on projects will replace the amount of REF that we’ve asked these business units to replace.
Jonathan Arnold: And I think the last time you talked on this. The idea was it would be pretty more skewed towards the smaller Landfill Gas deals and additional forward type deals. Is that still the thinking?
Peter Oleksiak: All these opportunities that we kind of [indiscernible], those are the two areas right now that we're looking at. It’s hard to say which ones will come from one segment or the other at the end of the day, but both of them. And this is one area in particular that we’ll talk about a little more detail at EEI to give you the sense of the nature of these types of opportunities.
Operator: We’ll go next to Charles Fishman with Morningstar.
Charles Fishman: Peter, the Ford project, you have an ongoing relationship with Ford. Is this just a one off or this -- should we anticipate that may be Gerry talks about what's downstream with Ford additional CHP projects?
Peter Oleksiak: This is really -- they are going through like allow the automotives, and then Ford particular has gone through how do they set themselves up for the future. So they are redesigning and then upgrading their campus, this research engineering center was one in particular. And they wanted to have renewable on green power there and they partnered with us. So it is a special one type of project, but we do have a great relationship with Ford, as you mentioned.
Charles Fishman: You have assembly plans, but you provide a similar service to or not, I don’t recall?
Peter Oleksiak: Yes, onsite energy, we provide the onsite power chilled water utility type of services at the assembly plans. But this one would be in a newly constructed on their campus, really and their engineering center.
Operator: We’ll go next to Paul Patterson with Glenrock Associates.
Paul Patterson: So to go with REF thing, but I'm not completely clear. I just think you guys are doing better in that business, et cetera. But you also mentioned the impact of -- what sound like was partners. And I was just wondering if you could describe a little bit more in detail. This was missing in terms of what that impact was, or what -- if you could just clarify that again.
Peter Oleksiak: Yes, definitely we’ll clarify it. These projects generate tax credit, that’s really where the value of these tax credits. Those tax credits are needed for us and we can utilize that in the future for tax cash out of it. When we look at our cash position right now in terms of our taxes, it makes sense for us for some of these projects to enter into partnerships where we essentially sell a pro rata piece of that partnership and the credits. That’s really, for us, is the timing of this and we are in the process now of looking for some partners for these units. So in the meantime, we’re enjoying some really good earnings around these projects. But we will be entering some partnerships. So it’s really an earnings full cash trade. So you’ll see this in this segment probably over the next say year or two if there’s additional relocations we may do, you may see a temporary bump in earnings related to tax credits. But as we maximize cash and value down a bit on those up.
Paul Patterson: So this is a temporary benefit because of the increased REF tax credits, but that will be decreasing, I guess, in the next few years as you’re monetizing it with these partners. Is that the way to think about it?
Peter Oleksiak: Right, as we determine out the cash now, and we have a significant investment portfolio ahead of us, so this is definitely is the cash is needed now to help fund that.
Paul Patterson: And what is the -- how much we think about that REF earnings projection going. As we go forward in this, how should we think about that earnings associated with REF? Could you quantify that a little bit?
Peter Oleksiak: The way to think about this segment, overall, as you look back at the original guidance of segment, which was roughly about $95 million. So once we get through a lot of this, the partnership monetization in getting the cash out will get back to a normalized REF. These units are going to be throwing up addition cash and some remains for us over the next few years. But you can think about it by looking back at the original guidance, that’s a best way to do it.
Paul Patterson: And then just in terms of the Ford deal, how much of that that you’re going to be -- how much CapEx is associated with that?
Peter Oleksiak: We haven’t disclosed that amount at this point in time. But once again, it is a great investment for us and part of that overall backfill strategy for our REF units.
Operator: We’ll go next to Andy Levi with Avon Capital Advisors.
Andy Levi: Actually, all my questions are asked. Just one follow-up just on the Ford announcement. So that’s a one off, there’s no extension opportunities there on that one particular project.
Peter Oleksiak: It’s a significant onsite projects for us with the new engineering. We have additional opportunities with similar type of financial projects with other type of customers. But this one really is a standalone type of project, and once again we’re very excited to be working with Ford on this one.
Andy Levi: And then at EEI, will we get numbers around that project just to figure out what the opportunity is longer term on other similar projects? Or is that all just be part of the overall guidance that you gave?
Peter Oleksiak: We will give a description of this area a little bit more and the nature of potential opportunities, additional opportunities in this area that we’ll provide that at EEI.
Operator: And we’ll go next to Kevin Fallon with Citadel.
Kevin Fallon: Just a question on the monetizing the REF credits going forward. Do you have like a deferred balance right now that you would monetize, or is it just basically selling their earnings stream to somebody else going forward?
Peter Oleksiak: It's really selling at the earnings stream. We do, right now, do have deferred balance on our balance sheet and that’s reasonable on why as we periodically we take a look at this and see what's the cash value to us in the future and tax benefits versus monetizing and getting into a partnership.
Kevin Fallon: And how many REF projects you currently have?
Peter Oleksiak: Currently, right now, we have 11 projects.
Kevin Fallon: And the original guidance, if we go back to early look from EEI last year, I think the P&I segment was $90 million to $100 million, which I think is the base you're pointing back to. What's the REF percentage or REF amount in there?
Peter Oleksiak: We really don’t give that type of disclosure. But I can tell you that this segment overall supported by 70 projects. This segment for last 20 years it is a series of a lot of different projects they basically come and go. Currently, at the moment, a good majority of the earnings right now is related to the REF projects, and that’s one of the reasons why we have a backfill strategy. So we’ve asked -- we get these real short-term duration earnings, a portion of that we’re going to have with P&I segment to at the backfill. But my short answer is the majority of the earnings at this point in time is that REF and we’re very excited in terms of the new projects and really terming out those short-term earnings in terms of long-term contracted earnings.
Kevin Fallon: So there were seven projects in the original guidance from EEI last year that’s what you said, and you’re up to 11 now?
Peter Oleksiak: Overall, we have 11 currently.
Kevin Fallon: But in the original guidance?
Peter Oleksiak: The original guidance, we did have the 11 and this is either really related. So we had two incremental essentially projects come online. One of them was relocation and we potentially, may continue to do that over the near-term. The other one was an acquisition. So they both were in, what this is related to the timing of getting into these partnerships. So we're recognizing now and benefiting from the tax credit earnings. And when we get into partnerships, we’ll be benefiting from the near-term cash flow stream.
Kevin Fallon: And just last thing, the 5 to 7 earnings growth is off the original guidance, and that’s what we should be using as a base to project through the out years?
Peter Oleksiak: Yes, I would say for now, that would be the best approach.
Kevin Fallon: And what is the original guidance?
Peter Oleksiak: It was a midpoint of 5.31?
Kevin Fallon: A midpoint of 5.31, that’s should we grow 5% to 7%...
Peter Oleksiak: And we just -- I know we have -- I don’t think we have it in our current presentation. But if you go back to the original guidance that’s the project, it really normalizes for weather at both of our utilities as well as for the REF. We’ll be giving you an update here at EEI in terms of our growth rate projection and how to think about that going forward. But for now, the best way to think about is our original guidance.
Operator: Ladies and gentleman, that concludes our question and answer session for today. Peter, I’ll turn it back to you for closing remarks.
Peter Oleksiak: Thank you everybody for joining us this morning. And I definitely look forward to seeing a number of you here at EEI in couple of weeks. And once again, I think we have a really good message to tell and we’ll give you the updates, as I mentioned earlier. Until then, have a good rest of the day.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference. You may now disconnect.